Operator: Good day, everyone, and welcome to the Qualys' Second Quarter 2014 Investor Conference Call. This call is being recorded. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions for asking a question will be given at that time. I would now like to turn the call over to Don McCauley, CFO of Qualys. Please go ahead sir.
Don McCauley: Well, thank you. Welcome to the Qualys second quarter 2014 investor conference call. I'm Don McCauley, the CFO; [Technical Difficulty] Philippe Courtot, who is our Chairman, President and CEO. Before we get started, we would like to remind you that during this call, management expects to make forward-looking-statements within the meaning of the Federal Securities Laws. Forward-looking statements generally relate to future events or our future financial or operating performance. Forward-looking statements in this presentation include, but are not limited to statements related to our business and financial performance and expectations for future periods, our expectations regarding capital expenditures, including investments in our cloud infrastructure, and the intended uses and benefits of such expenditures, our expectations regarding the introduction of new solutions and enhancements to existing solutions, and our beliefs regarding the benefits of our new solutions and enhanced existing solutions. Our expectations and beliefs regarding these matters may not materialize and actual results in future periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forth in the press release that we issued earlier today, as well as those more fully described in our filings with the Securities and Exchange Commission, including our Quarterly Report on Form 10-K that we filed on May 8, 2014. The forward-looking statements in this presentation are based on information available to us as of today and we disclaim any obligation to update any forward-looking statements, except as required by law. We also remind you that this call will include a discussion of GAAP and non-GAAP financial measures. The non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. A discussion of why we present non-GAAP financial measures and a reconciliation of the non-GAAP financial measures discussed in this call to the most directly comparable GAAP financial measures are included in our earnings press release that is available on our website. Later in the call, we'll be giving you more information about our investor day coming up on October 15. Now to begin the discussion, Philippe will provide an overview of the company's performance for the second quarter, then I will cover our financial results and factors that drove the quarter in more detail as well as our outlook for the third quarter and full year 2014. Then we will open up the call for your questions. With that, I will now turn the call over to Philippe.
Philippe Courtot: Thanks, Don. And welcome to all of you. The second quarter of 2014 was another very strong quarter for Qualys with solid progress in all aspects of our business as demonstrated by our accelerated 23% year-over-year revenue growth and increased profitability as well. Don, will cover the financial details of our performance for the quarter and then we first start off with an overview of key highlights that are driving the momentum in our business. In the second quarter, we added a number of important new accounts, including Albemarle Corporation, BARCO, Blue Cross Blue Shield of Nebraska and Tennessee, CMS Energy Corporation, FireEye, LeasePlan Corporation N.V., Lloyds Register, Markel Corporation, NASDAQ, Office Depot, Philips Electronics UK, Reed Smith, Travelport and Ziff Davis. Our Vulnerability Management solution remains the largest component of our business and continues to grow well. At the same time we continue to make progress in diversifying our revenue base. We derived 82% of second quarter revenues from subscriptions to our VM solution, compared to 84% for the same period last year. This ongoing diversification of our revenues is principally due to increased sales of our Web Application Scanning and Policy Compliance solutions, both of which continue to show robust growth. We also want to provide you with an update on our progress in selling additional solutions into our customer base beyond our industry leading Vulnerability Management solution. At the end of 2012, 20% of our customers had bought more than one solution from Qualys. By the end of 2013, that number was 30%. At the end of the first quarter of 2014, it had grown to 37%, and this terrific progress continued with 44% of our customers having now adopted more than one of our solutions as of the end of the second quarter. This quarter, we introduced significant enhancement to our Continuous Monitoring solution for Internet-facing systems by integrating seamlessly with incident response systems such as HP ArcSight and Splunk empower our customers to proactively address critical vulnerabilities in their perimeter by providing this information to first responders, so they can take action for any compromise occurs. We will be showcasing these new capabilities for Continuous Monitoring at Black Hat USA on August 6 and 7 in Las Vegas. We are also releasing significant improvement to our Web Application Scanning solution or WAS, which enabled customers to perform high volume and fully automated Web Application Scanning across all of their Web Applications. The new features include support for scanning thousands of web application with a Multi-Scan feature. We believe this is a big differentiator in our WAS offering as it allows customers to discover and scan thousands of Web Applications seamlessly, which is not feasible with any competing solutions. We continue our progress to improve our Web Application Firewall or WAF, which is delivered via our cloud platform and integrated with our Web Application Scanning solution. In addition to our release versions on Amazon EC2 and EC4 on-premise deployment on VMware, the virtualization platform for working and expanding our WAF capabilities in the next quarter to include a physical appliance for the larger enterprises. We expect these improvements to accelerate the adoption of our WAF. In the Vulnerability Management, we released a new mapping on network discovery function with the ability to search the network for active assets, discover the relationship between interconnected networks, and help ensure the newly discovered assets are authorized and then included in ongoing assessments. This quarter we released the new Enterprise Scanner Appliances with much improved performance parallelization capabilities that help our customers to scan their enterprises' network faster. It allows them to scan air-gap network, a key requirement for government and defense customer. We also witnessed accelerated demand for the Qualys private platform especially with partner that will use the private platform to deliver services to their customers. In Policy Compliance, we introduced support for many new regulations to help our financial institutions customers adhere to recent Internet Banking Technology Risk Management guidelines all over the world. This quarter, Qualys joined the Open Web Application Security Project known as OWASP as its first Premier Corporate Member. OWASP is an open community of more than 42,000 participants, dedicated to enabling organizations to conceive, develop, acquire, operate, and maintain applications that can be trusted. We also joined force with the Council on CyberSecurity to help promote the adoption of cyber-security best practices. I'm also very pleased with the industry recognition we have continued to receive. This quarter, our Policy Compliance solution was named by SC Magazine of the Best Risk/Policy Management Solution and we were recognized by Gartner as a formidable challenger in the 2014 Magic Quadrant for Application Security Testing and for – these for our Web Application Scanning Solution. Now, for a review of our financial performance and our guidance, I will turn the call over to Don.
Don McCauley: As Philip said, Q2 was another strong quarter across our business, in fact, the strongest revenue growth since our IPO and this will be evident as we review our results and metrics. Revenues grew in the second quarter to $32.3 million, which represented 23% growth over the same quarter last year, and our current deferred revenue balance at June 30 was 22% greater than one year ago. For the second quarter, the U.S. represented 70% of revenues, the same percentage as the year ago. GAAP gross profit increased to $25.1 million in the second quarter, compared to $20.4 million for the second quarter last year. GAAP gross margin was 78% for the second quarter of 2014, compared to 77% in the same quarter last year. Non-GAAP gross profit in the second quarter increased to $25.3 million compared to $20.5 million in the same quarter last year, and non-GAAP gross margin was 78% for the second quarter of 2014, the same percentage as in the prior year period. Adjusted EBITDA for the second quarter increased by 62% to $7.2 million compared to $4.5 million in the second quarter of 2013. As a percentage of revenues, adjusted EBITDA increased to 22% from the second quarter of 2014 compared with 17% in the same quarter last year, demonstrating continued solid progress and profitability even while we continue to make significant investments in growing our business. Moving on to earnings per share. For the second quarter of 2014, GAAP EPS was $0.05 per diluted share versus the GAAP EPS of $0.02 per diluted share in the second quarter last year. Non-GAAP EPS was $0.11 per diluted share in the second quarter of 2014 compared to $0.06 per diluted share in the second quarter of last year. Turning to the balance sheet as of June 30, we continue to have a strong cash position with $144 million in cash and investments and only $300,000 of remaining capital lease obligations. In the second quarter of 2014, capital expenditures were $2.7 million compared to $2.6 million in the second quarter of 2013. Going forward, we plan to expand approximately $3 million to $4 million per quarter for capital expenditures to expand our cloud infrastructure to support more customers and to add more solutions and functionality to our platform. Now turning to the outlook for 2014, which includes selling our guidance for the third quarter. Starting with revenues, for the third quarter, we expect revenues to be in the range of $33.5 million to $34 million. At the midpoint, this represents 22% growth over the third quarter 2013 revenues. We are also raising our expectations for the full year. For the full year 2014, we now expect revenues to be in the range of $131 million to $132 million, an increase from the previous revenue guidance range, which was $128.5 million to $130.5 million. At the midpoint, this represents an increase from the 20% midpoint of the previous guidance range to a midpoint growth rate of 22% for 2014 over 2013. For earnings per share, we expect GAAP EPS for the third quarter of 2014 to be in the range of $0.02 to $0.04, and non-GAAP EPS to be in the range of $0.08 to $0.10. Our third quarter EPS estimates are based on approximately 37.3 million weighted average diluted shares outstanding. For the full year 2014, we now expect GAAP EPS to be in the range of $0.04 to $0.08, an increase from the previous GAAP EPS guidance range of negative $0.06 to negative $0.02. Non-GAAP EPS is now expected to be in the range of $0.30 to $0.34, an increase from the previous non-GAAP EPS range of $0.22 to $0.26. Our full year EPS estimates are based on approximately 37.4 million weighted average diluted shares outstanding. What you're seeing in these expectations is the continuation of the strong sales execution that we've been experiencing across our products and geographies this year. Our outlook also reflects the power of the platform that we've built with customers increasingly purchasing multiple products from us. In short, the land and expand strategy that we have discussed over time is really bearing fruit. As I mentioned earlier, Qualys will be holding its first Investor Day Meeting on October 15. It will held in Las Vegas on the afternoon before the Qualys Security Conference which is our annual user conference which is being held on October 16 and October 17. Investor Meeting will include presentations from management focusing not only on our current platform and products but also our next generation unified cloud platform and our exciting product pipeline for 2015 and beyond. Investors are also invited to attend our user conference which is a unique opportunity to connect with existing and prospective customers and partners, along with engineers and industry experts. On November 12, we will hold a similar event in London for our European investors on the afternoon prior to our London Qualys Security Conference. With that Philippe and I will be happy to answer any of your questions. Operator?
Operator: (Operator Instructions) And our first question comes from Philip Winslow of Credit Suisse.
Philip Winslow – Credit Suisse Securities LLC: Hi, congrats guys on a good quarter. I just have a question on just sort of the go-to-market side of the house. Obviously, a big part of the thesis on Qualys is be willing to cross-sell multiple product lines. Why don't you give us a sort of a status update or your report card on where you guys think you are in the direct sales-force versus the channel, and particularly, if you've kind of cut it, U.S. versus international? Thanks guys.
Don McCauley: So let me just start, Phil. I said on the call, U.S. is 70% of our business and international is 30%. The channel split is still about 60% direct and about 40% through the channel. So those are the metrics around that and I'll let Philippe comment on some of the other color around the go-to-market.
Philippe Courtot: And also what we see, as we mentioned is a significant adoption of our multi-solution with both our existing customers and new customers, so we are poised for accelerated growth, and of course, we are looking to increase not only our engineering team as we've being doing in the past but as well continuing increasing our sales-force. So we're very bullish fundamentally with our position with the market, with all the new products which are coming out, which we are going to essentially make a lot of announcements at the – at our forth coming user conference, as we mentioned. And the integration of all these different services together on our platform is really resonating with the market.
Philip Winslow – Credit Suisse Securities LLC: Got it. Thanks, guys.
Operator: Our next question comes from Matt Hedberg of RBC Capital Markets. Please go ahead.
Matt Hedberg – RBC Capital Markets LLC: Thanks for taking my questions, guys, and congrats on the quarter. Your revenue is certainly accelerating north of 20% here, but it also looks like profitability is running way ahead of plan. I guess, I'm kind of curious what are the dynamics there between revenue acceleration and profitability.
Don McCauley: Well, Matt, I think the main thing is revenue is running higher, the benefit of our highly automated model which and just to remind everybody, we don’t have professional services, we don't sell hardware. Lot of this goes right to the bottom line incrementally. And so that's the biggest thing. We also had little increase in margins as well.
Matt Hedberg – RBC Capital Markets LLC: And then I know you sort of outlined, adding 25 reps to 30 reps this year, if you added about 7 in Q1, I guess, I'm curious for an update on that side.
Don McCauley: Yeah, so, in Q2 actually we always are adding people but net-net we counseled a few low performers out of the business and we're sitting at a 122 at the end of six months. We had gone up to 127 at the end of Q1. We have a really active pipeline of candidates on which we've already been hired in Q3 and bunch that are coming, because we're more likely to add, more like 15 this year, given where we are in the year. So, we're always looking for more but – and we trimmed some non-performers in Q2 as well.
Matt Hedberg – RBC Capital Markets LLC: Got it, and then maybe, another WAF's been out there a little bit now. I'm wondering if you could talk about pricing there, is that holding up, it's obviously a fairly competitive market?
Philippe Courtot: You mean the WAS or the WAF?
Matt Hedberg – RBC Capital Markets LLC: WAF, Web Application Firewall.
Philippe Courtot:
 : And that's the marketplace today which is essentially down through more consulting engagements and not with the degree of automation that we present. So these – all of these things combined which I think will have totally baked by the end of the year, will essentially I believe will accelerate significantly not only the fantastic penetration we already have with our Web Application Scanning that all that is going to also bring the web application firewall and essentially significantly increase our ability to create bigger deals because we can now scan it. There's much more internal web application that there are external except for a few very specific customers. So we believe it is an untapped market and that – and Qualys is coming up with all the pieces that you need, all of that delivered are of our platforms so we'll see us in a very strong position.
Matt Hedberg – RBC Capital Markets LLC: That's great. Thanks, guys.
Operator: Our next question comes from Rob Owens of Pacific Crest. Please go ahead.
Ben Wilson – Pacific Crest Securities: This is Ben on for Rob, thanks for taking my question. It appears that the VM side of the business continues to perform well. It performed well in Q1. It looks like it put up another strong quarter. I wonder if you could just provide a little bit more color on how that business is performing, why is it performing so well and maybe, just whether there was any large true-ups, or up-sells attached with renewals in the quarter?
Philippe Courtot: So, maybe I could address first why the VM marketplace is continuing – working very well for us. In fact, the combination of the new services that we are totally integrated and delivered through the power of the cloud, really differentiate us. We see that also the Continuous Monitoring, a lot of our large customers are had been waiting for that integration which we just announced and that we showcase that again at Black Hat of integration of the alerts that we create directly into their SIMS, that's another significant differentiator. So all of the thing what we've been doing in bringing this different applications together is essentially making us essentially win the displays if you prefer existing VM solutions much more easily from when we only had to compare our VM against the installed VM. And that's essentially the main driver for our VM market. Also the – on the SME and SMB side, we really package our SMB offering very well and we see significant traction as well on the SMB business as well as on the SME business. So all of that is playing across all markets and all geographies and maybe Dan would make some comments about some of the up-sells.
Don McCauley: Yes, Ben, we continue to see good up-sell activity across the customer base, no one giant transaction or anything that just good solid activity across, really across the board.
Ben Wilson – Pacific Crest Securities: And then on the WAF, I know it's still kind of early in that opportunity but where are you seeing the most uptake, is it specifically package with the Web Application Scanning and are you seeing new customers come to (inaudible) specifically for the WAF?
Philippe Courtot: Yes, especially the WAF market, we really are now – we focus our efforts to essentially address that as I just mentioned earlier that untapped market which is your internal web applications and because now you are – with the ability to provide using our virtualized web application scanning solution, so you could put on your laptop, we can provide developer console, then we could identify all the internal web applications that you have. You could catalogue them. You could scan them continuously almost. And then, of course, the WAF becomes the other component that you are going to use to ensure that you follow them before you can fix the Vulnerability. So that’s a huge untapped market, and I think that’s where we see our WAS not displacing, in fact, creating [Technical Difficulty] where other solutions cannot really go there, because they're far too expensive to install, to deploy, to maintain. They require customers' professional services, or of course, if you look at the Firewalls, they are looking, of course, at the traffic coming in when here we can be inside of the enterprise with a very effective deployment. So I think this is a big game changer.
Ben Wilson – Pacific Crest Securities: Great. Thanks, guys.
Operator: Our next question comes from Ken Talanian of JPMorgan. Please go ahead.
Ken Talanian – JPMorgan Securities LLC: Hi. This is Ken Talanian in for Sterling Auty. Given the strong revenue generation this quarter, I was wondering, why we didn't see a little bit more in deferred? Was there something in the product mix or the linearity in the quarter that caused the better revenue generation?
Don McCauley: They're very close, I mean, one rounds to 23% and the other one rounds to 22%, we look at them as about equivalent. They both – all pointing toward about the same growth rate.
Ken Talanian – JPMorgan Securities LLC: Okay. And has the average duration of the contracts been similar over the past few quarters?
Don McCauley: Yes, it has stayed pretty similar, our average is about 1.15 years. You see about $9 million of long-term deferred revenue, so that represents customer that have paid us for multiyear contracts, so that we have some of that. Our general model is to sell annual subscriptions paid in advance. So the average day is pretty close to one year.
Ken Talanian – JPMorgan Securities LLC: Okay, great. Thanks and good quarter.
Don McCauley: Welcome.
Philippe Courtot: Welcome.
Operator: Our next question comes from Steve Ashley of Robert Baird. Please go ahead.
Matt Lemenager – Robert W. Baird & Co., Inc.: Great, thanks. This is Matt Lemenager on for Steve. Thanks for taking our question. The question is around cloud versus client server security solutions, and Philippe, you’ve talked in the past about how cloud has two advantages, economic and also accuracy, more quality. Could you help us understand that second part and why a cloud security solution could be higher quality than client server?
Philippe Courtot: A very good question. In fact, because, as we all know, the fundamental issue with client server solution is the development cycle, which takes a year essentially to really get your new release or your major release. And second, the difficulty to integrate the different enterprise security software solutions, because essentially they're different consoles. They are managed differently, so it has become very expensive not only to deploy them, but to integrate them. The advantage of a cloud solution is that you can bring all the data into one place. And then – and of course, you could correlate that. When we look at providing the inventory of your – of what you have, we can look at different stores of information to ensure essentially that, yes, what that technology sees matches with what that other technology sees. Another example, in the case of the Web Application Firewall, totally integrated with the Web Application Scanning, we discover a vulnerability, which we automatically can pass very effectively to the Web Application Firewall, so it could create the rule to essentially virtual patch that vulnerability, and that’s the advantage – inherent advantage of the cloud model.
Matt Lemenager – Robert W. Baird & Co., Inc.: Great. That’s very helpful. And just as a follow-up, in a recent Wall Street Journal article, they mentioned for the first time security has become a common topic at board meetings. We just want to get your opinion. Do you think that's true, is that something you feel like you're seeing?
Philippe Courtot: Oh, yes, no, no, that’s very clear. And in fact, it's very clear because of the cost of being breached today. The board meetings have to look at the risks these represent to the business. So it does become absolutely a discussion of board meetings. The challenge that large companies have is with the complexity of the – of that client server infrastructure that they have, that’s the challenge number one they have. The plethora of these enterprise security solutions that cost a fortune and do not again, as I mentioned earlier integrate together. The third challenge they have is the fact that it’s very difficult to find experts in security as well. So it’s a very complex problem. And today, companies are ill-equipped to fundamentally address that, which is why by the way, we see so many data breaches. It's a problem which has become very, very critical, and I personally believe and will always believe that bringing cloud base solution to the problem absolutely reduce the cost and increase the degree of protection, the degree of analysis that you can have, so we could find out the attackers.
Matt Lemenager – Robert W. Baird & Co., Inc.: Great, it’s helpful. Thanks so much.
Operator: Our next question comes from Eric Suppiger from JMP Securities. Please go ahead.
Erik Suppiger – JMP Securities LLC: Yes, congratulations. First off, just wondering, did your Policy Compliance and Web App Scanning, did those continue to grow at 50% or more year-on-year growth rates?
Philippe Courtot: Yes, they did. Our Policy Compliance application has measured very well and we see the big uptake as well of our Policy Compliance application. And as I mentioned earlier, I think the combination of the WAS, the WAF, or the developer console, all of that will allows us to become a very strong force in that web security, if you prefer nascent market.
Erik Suppiger – JMP Securities LLC: Okay, very good. Your sales and marketing dollar spend was down, and it sounds like you're seeing some pretty good leverage. But your guidance would suggest that it will probably come up next quarter. Is it because of hiring just picking up, or what are the dynamics behind the sales and marketing right now?
Philippe Courtot: Yes, Erik, it’s more of the swing in marketing expenses, when trade shows occur and stuff. Q1 is heavy with RSA, Q3 is when we do [Technical Difficulty], Q4 our Qualy Security conferences and Black Hat and other things. So Q2 is relatively quiet around that front.
Erik Suppiger – JMP Securities LLC: Okay. And then you didn't talk much about private cloud. Did you have much further progress on that front in the quarter?
Philippe Courtot: Oh, yes, in fact, the private cloud is really becoming very strategic in Europe, where we see a very – we have a lot of private clouds in negotiation, as we speak. This is a combination of regulation. This is also the combination that Europeans are not at the level of the U.S. in term of adoption of the cloud. So they really prefer in a way to have the data locally, so the combination of, if you prefer, local regulation or local mentalities makes that the private cloud is very appealing. So we see a big uptake of the cloud [Technical Difficulty]. Today more than 14 of these private clouds deployed in the world, while continuously we are making improvement to package them even more, so we could ship them like cookie-cutter. We are also working on the disconnected version to address the more DoD military markets. So we see that as a significant extension of our business. The beauty of our solution of what we have done is that, this is the same code base than our shared platform. So we're not introducing – this is not another team of engineers developing another piece of software is exactly the same. The difference is the way we package it – so – and that’s all.
Erik Suppiger – JMP Securities LLC: I think you had mentioned before you are at around 14. Did you add any during the quarter?
Philippe Courtot: This quarter, no, we didn’t ship, because we think the [Technical Difficulty] private clouds, once we have acceptance of the private clouds mistakes, but I don't really…
Don McCauley: Yes, Erik. I think we added one in the quarter, and we are sitting at about 15 today.
Erik Suppiger – JMP Securities LLC: Okay, all right. And then lastly, you talked about a lot of up-sell opportunity, and I think the VM did well. But is the VM – are you taking that into new accounts? Are you finding the competitive landscape favorable on that front, or is the bigger driver just getting better penetration in your existing accounts?
Philippe Courtot: It's a combination of both. In fact, we are – new accounts for us – our displacement of accompanying solutions and of course there is the – a further extension of the policy compliance in our – of the Vulnerability Management scanning in existing accounts. So, kind of it is both.
Erik Suppiger – JMP Securities LLC: So, very good. Thank you very much.
Operator: Our next question comes from Michael Kim of Imperial Capital. Please go ahead.
Michael Kim – Imperial Capital LLC: Hi, good afternoon, guys. I'm interested in the SIM integration with the Vulnerability Management. Do you see an opportunity there to strategically partner with – within the larger SIM platforms over this HP or Splunk? How are you going about penetrating that installed base of customers, especially those that aren't existing Qualys customers?
Philippe Courtot: Very good question, so it's a combination of things. First of all, for all VMSSB [ph], which are essentially managing if you prefer the firewalls the – of customers who manage security service providers, that continuous monitoring is very appealing, because now they can essentially immediately alert automatically the operators that they are to watch for security events. We look at – we have introduced a notion with a new release of what we call toxic [ph] combination, which means if that port, for example, has suddenly been up and there is a vulnerability or a critical database, for example, behind that becomes an alert of the greater priority. And that's really at the – these managing the service providers to do a better job. And then there is of course the opportunity to essentially with that integration to go and address the needs of the perimeter. So market penetration strategy, we don't need to go and displace first the internal web – vulnerability management but we can go at the perimeter and that integration with the SIM that the corporation have makes in fact this even more appealing and that's what we see in our continuous monitoring solution with a new integration as a formidable vehicle to try to penetrate new customers by starting first with the perimeter and then from there going into the inside.
Michael Kim – Imperial Capital LLC: Great, and then just switching gears to the Web Application Firewall. I know it's still a little early going into process, but can you talk about the pace of proof-of-concepts or proof-of-values and the trial deployment activity?
Philippe Courtot: So we have a lot of trials and the very good, and very good reception for what we do. As I mentioned earlier we're working in the tight integration as we mentioned in fact last quarter in the tight integration of our WAS and WAF together, and with the console and I think when we complete all of that, we're going to have accounted for one, if you prefer application will be web application security and this is one we are going to really put a lot of marketing dollars to try to push that solution which is a holistic solution to customers, again, for the internal essentially first in a web application. So we're gearing up fundamentally. It's looks very good. We are very optimistic.
Michael Kim – Imperial Capital LLC: Got it. And Don, not to leave you out, yes, I know last quarter I think the timing of some of the new orders or renewals were a little bit earlier in the cycle. Did you see that same pattern in Q2 or is it pretty normalized relative to last year?
Don McCauley: Yes, now as we stated last time, we returned to normal patterns this quarter.
Michael Kim – Imperial Capital LLC: Got it. Okay. Great, thank you very much.
Operator: (Operator Instructions) And our next question comes from Robert Breza of Sterne Agee. Please go ahead.
Robert Breza – Sterne, Agee & Leach, Inc.: Hi, thanks for taking my question. Philippe, as you think about the uptake, you guys have shown really good progress here with the base taking more than one product. I was wondering if you could comment how you are seeing that progression, is it really starting with your biggest geographies? I'm curious to just see where you are seeing the most traction on a geographical basis and what may be you've done to drive that growth across the different geographies, and maybe if you could comment about some of the changes you're making going forward to increase that effort? Thanks.
Philippe Courtot: Also generally speaking, it comes, that uptake of the new services, it's come into essentially all markets worldwide, as well as all, again our business we have segmented our business between the SMB, which is a company, which are under 250 employees to the SME which are companies between 5000 and 250, and enterprise, which is above 250. So we see of course the adoption in all market segments and in all geographies. So to the point that whether we make some specific efforts to accelerate, our philosophy has been always to try to essentially make sure that the customer are ready. So instead of pushing solutions to our customers and to find out that they don't have the people or they're not ready, we have a huge installed-base today. We have earned their trust. The last thing we want to do is by – having productry techniques, if I miss this so or pushing them to adapt solutions that they're not quite ready. We're coming up with so many new services that essentially for us to continue our strategy which has been there since day one. In fact, the way we thought about our business, to be continue to accelerate the growth, I think we have that huge advantage of being capable of essentially ensuring that our customers are happy and satisfied that the product works, of course, there's a budget cycle that we got respect et cetera. But all-in-all it's an adoption that absolutely everywhere for all of our services and a huge demand for the new services. I mentioned about that web application security, that web application security market was as we mentioned coming up with a malware protection service which is also looking very good. So we're coming up with many, many more new services and which are – which will allow us to continue on that accelerated growth path that we're on.
Robert Breza – Sterne, Agee & Leach, Inc.: Sounds great. Nice quarter, guys.
Operator: There are no further questions. I will now turn it back to Philippe Courtot for closing remarks.
Philippe Courtot: Okay. Thank you all for joining us today and we are pleased with our strong performance and continued momentum in the marketplace as demonstrated by another strong quarter. We believe that we are well-positioned to deliver best-of-class security and compliance solutions to our customers and partners as we continue to expand our cloud platform and deliver more innovative solutions as we just discussed. Should you have any follow-up questions, Don and I are available to you and we look forward to speaking with you next quarter. Thank you very much.